Operator: Good day, ladies and gentlemen. Welcome to KPN's Third Quarter 2022 Earnings Webcast and Conference Call. Please note that this event is being recorded. At this time all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of today's prepared remarks. [Operator Instructions] I will now hand the conference over to your host for today Reinout van Ierschot, Head of Investor Relations. You may begin.
Reinout van Ierschot: Thank you and good afternoon ladies and gentlemen. Thanks for joining us. Welcome to KPN's third quarter 2022 results webcast. With me today are Joost Farwerck, our CEO; and Chris Figee, our CFO. As usual before turning to our presentation, I'd like to remind you of the Safe Harbor on Page 2 of the slides, which also applies to any statements made during this presentation. In particular, today's presentation may include forward-looking statements, including KPN's expectations with respect to its outlook and ambitions, which were also included in the press release published this morning. All such statements are subject to the Safe Harbor. Let me now hand over to our CEO, Joost Farwerck.
Joost Farwerck: Thank you, Reinout, and welcome everyone. Let me first walk you through some of the highlights of this quarter. We continue to make good progress against our strategic and financial ambitions. Group service revenues grew for the fifth quarter in a row. We saw a healthy customer inflow in Consumer and Business, especially in mobile. Business service revenues grew for the second quarter, with SME again making a strong contribution. And we see ongoing growth in consumer mobile service revenues, partly offsetting the competitive dynamics in fixed. The improving revenue trends and sequential improvement in net promoter scores in Business and Consumer show that our commitment to customer centricity has paid off. ACM declared our improved fiber wholesale offer binding. The new offer has been effective since the end of August and is applicable for a period of eight years. And this enables us to continue to roll out fiber at a fast pace and maintain our successful open network policy. With solid adjusted EBITDA growth in the third quarter and a strong year-to-date free cash flow, we remain confident to deliver on our recently upgraded full year 2022 outlook despite the current economic environment. And looking ahead, we keep working hard on mitigating inflationary headwinds. Now we are fully committed to our Accelerate to Grow strategy. We stand out as a stable company and taking into account the pricing mechanisms we have in place our cost reduction program and the stable CapEx envelope, we are confident we will deliver some growth next year as well. In the third quarter, we've made solid progress and rolled out fiber to 76,000 households. We are on track the roll out speed in the terms of homes past slowed a bit in the third quarter, partly due to the holiday season, but also because of a change in roll out strategy where we accelerated roll out in streets and delayed a bit in connecting households to optimize the use of labor capacity available. Together with Glaspoort, our joint venture with APG, we connected fiber to 123,000 households, and we currently cover approximately 46% of the Netherlands with fiber. As we continue to roll out fiber, our growing fiber footprint will result in an improved penetration rate for retail and wholesale. And we see all this effort bearing fruit in our financials. Looking at our third quarter results, we currently generated about €940 million of annualized fiber service revenues. And this number is growing rapidly driven by a growing base and improved and attractive ARPU. All in all, fiber is clearly at the heart of our strategy to create long-term value for all stakeholders. Let's now move to the consumer segments. Adjusted consumer service revenues decreased by 0.8% year-on-year as consistent mobile service revenue growth was offset by lower fixed service revenues. Consumer fiber broadband revenues showed continued growth, while copper and legacy maintained its anticipated decline. Customer satisfaction remains one of our top priorities and it has been pleasing to see our efforts pay off in this area with an NPS level that is rising again to 18. Now let's take a deeper look into our third quarter KPIs. Our retail fiber base increased by 37,000 new customers offsetting copper churn and this led to 4,000 broadband net adds, which we consider solid given the aggressive promotion by our main competitor in a part of Q3. Our fixed ARPU remains broadly stable at €53. As you can see, the fixed service revenue trend is slightly better than seen in the previous quarter and appears to be bottoming out. We continue to see solid trends in mobile, our postpaid base increased by 38,000 and our postpaid ARPU was broadly stable. And combined, this led to 2.2% growth in mobile service revenues. Let me now move to the B2B segment. We saw continued service revenue growth in our business segment. B2B adjusted service revenues grew more than 3% year-on-year in the third quarter. SME is the main engine of B2B growth driven by solid commercial momentum in both the broadband and mobile portfolio and also LTE service revenues were almost stable partly supported by a small one-off nonetheless underlying the overall trend continues to move in the right direction and we expect the inflection in LTE next year. Tailored solutions continue to perform in line with expectation. As you notice, business always remains subject to timing in projects and related sales, but also on the tailored solution side good performance in Q3. Business NPS returned to plus 4 despite the volatile economic environment, customers continue to value KPN for stability, reliability and quality of our network and services. And so, I'm happy with both on the consumer and business side, the high NPS, especially when you compare KPN with our competitors. As you can see on this slide, we see improving revenue trends across the board. And this combined with the sequential improvement in net promoter score bodes well for the future. In wholesale, service revenues increased around 1% in the third quarter. And growth rate leveled off a bit compared to the other quarters, but this was mainly due to a tougher comparison base. Adjusted for a positive one-offs in the third quarter last year, underlying growth was still around 4%. In Q3, we've added 18,000 postpaid SIMs and 10,000 broadband lines. Now with this, let me now end over to Chris to give you more details on our financials. Chris?
Chris Figee: Thank you, Joost. Let me now take you through our financial performance. Let me start by summarizing some key figures for the third quarter. First, adjusted revenues increased 1.9% year-on-year may be driven by growth in Business and Consumer Mobile and higher non-service revenues. Please allow me to point to a cumulative 92,000 net adds in consumer mobile we've gained since the beginning of the year. Second, adjusted EBITDA after leases increased by 1.8% year-on-year. In its inflationary environment, we were able to keep EBITDA margin stable at 46.2% as cost savings from further simplification digitization were partly offset by inflationary effects such as waste indexation and rising energy costs. This all translated into €30 of net indirect OpEx savings in Q3 or €34 million year-to-date. Please note that in this €30 million, we absorbed €3 million of increased energy costs. Third, year-to-date free cash flow increased 26% compared to previous year. This is mainly due to higher EBITDA and lower CapEx, because of end of year facing. Our free cash flow margin has improved throughout this year, more on the underlying cash development later this presentation. Group service revenues increased by 1.1% compared to last year. This is mainly underpinned by strong growth in our business segment, whilst mass-market service revenues continue to grow as well.  Business service revenues grew by more than 3%, driven by continued strong performance in SME. While trend in LCE is gradually improving the shrinkage is declining according to plan, also grew about 1% year-on-year despite facing a tough comparable quota from last year. In Consumer, our service revenues declined by about 1%. The trend improved a bit compared to previous quarter, it was still negative. In this number, mobile service revenues continued to grow and record a 2.2% increase. In fixed we reported a decline in service revenues of 2% as growth in fiber are still offset by declining legacy services, less voice traffic and the accounting effect for content packages. For the remainder of the year, we still expect to see some technical headwinds, but the trend in consumer fix is clearly bottoming out, supported by implemented price adjustments and commercial improvements. And of course by Q1 next year we'll see the lapping of the accounting effect. Overall, we're proud under all definitions, whether it's mass market or group revenues, service revenues, or total revenues in any perspective, our revenue based grew in the third quarter. Adjusted EBITDA grew by 1.8% compared to last year, driven by service revenue growth and lower indirect costs, partially offset by €27 million higher direct costs. Factor for the increase in cost of goods sold would impact higher non-service revenues such as handset and hardcore hardware sales. Third-party access costs cross board and a change in service revenue mix in B2B. Our personal expenses decreased by €13 million despite the one time employee benefit of about €5 million paid out in July. This reflects a structural shift in personal efficiencies, due to the digitalization of KPN, as well as some natural attrition.  Other OpEx is up almost 6% mainly due to higher energy costs. For 2022 we expect energy cost to be about €10 million higher than last year. As said before, year-to-date, we save €34 million of indirect costs after having absorbed this increase in spend on energy. With respect with 2023 next year, we expect energy usage to decline about 5% driven by several measures. We have now hedged about 75% of our expected energy consumption for 2023 at an average price, which is unfortunately nearly twice the level of this year. At good energy prices and taking into account that 25% energy consumption we're about to buy on the spot market, we expect about €50 million to €60 million higher energy costs next year. In 2022, we have been able to offset the industrywide inflationary pressures on energy and labor cost and we are of course not completely immune to this and next year will be more challenging. To manage the impact of inflation on our EBITDA, we’ve increased prices and implemented a series of additional cost cutting measures. This year we've seen strong underlying cash generation. €673 million our free cash flow year-to-date are substantially higher than last year and the cash margin of our revenues moved up to 70%. An improvement may be a result of EBITDA growth, lower CapEx due to end of year facing and less cash interest paid. So we continue to have a strong and resilient balance sheet at the end of September. As a result of higher interest rates on floating debt and other corporate actions, the average cost of senior debt increased by 46 basis points year-on-year. Early September, we issued a new hybrid bond and put out a tender on March 2023 dollar hybrid. The successful placement, in combination with the tender, enabled us to protect our hybrid equity credit from the rate decrease [ph] while limiting interest costs as we manage to match the existing interest rate of the new and the old bonds. Our next bond redemption only takes place in 2024, which gives us plenty of time and flexibility in the current volatile markets. In Q3, net debt increased by €184 million, compared to the previous quarter, driven by the final dividend payment in August and our share buyback program. This of course was partially offset by the free cash flow we generated during the quarter. Our leverage ratio now stands at 2.3 times EBITDA, comfortably below our ceiling of 2.5 times. The acceleration of growth of our cash margins increases our flexibility around capital deployment. Total liquidity of KPN remained robust at the end of the quarter. It consists of €1.4 billion in cash and short term investments and our undrawn revolving credit facility. And this cash, this liquidity comfortably covers debt maturities for the next two years. In Q3, we made very good strategic progress and deliver solid financial results. Therefore, we repeat and confirm our recently upgraded 2022 guidance of at least €2.4 billion of EBITDA and a free cash flow of about €850 million. CapEx will remain stable at €1.2 billion in 2022, but also, let me suspect also put 2033. With this, we believe KPN demonstrate resilience in the current economic climate. Looking ahead though, there's obviously a degree of uncertainty about the impact and duration of inflation, mainly on energy. We continue to work hard on mitigating measures to help offset these headwinds. Moreover, demand for our essential connectivity and communication services remains solid and we have a robust liquidity position. We continue to manage our business and closely monitor several business drivers including payment behavior of our customers and our revolving credit quality. So far we've seen limited impact on this front, but we remain alert. Even though, our earlier set of EBITDA and free cash flow for 2023 ambitions are now not likely to fully materialize. KPN positioning remains stable and defensive in a dynamic environment. At current inflation levels, we actually expect to deliver slight EBITDA growth next year. Hence 2023 will not dip below 2022. As some say, we're not immune, but we are quite stable, resilient and as this customary will specify our full year 2023 outlook at the Q4 2023 results. So to summarize, KPN generated solid results in a third quarter and is trading well. Sustainable growth in group service revenues with positive sign across all segments, our EBITDA and cash margins continue to grow over and with confidence about the cash generating ability of our group. To me, KPN demonstrates healthy margin, earnings and cash flow resilience in turbulent times. Our fiber rollout program has maintained a solid pace as a proven attractive return profile. As such, driven by our solid performance year-to-date and successful execution of our strategy to repeat our 2022 guidance, obviously there are headwinds out there, particularly around inflation, and we're implementing measures to mitigate this impact as much as possible to remain on track to see good operation and still deliver some slight growth next year. Thanks for listening. Let’s turn to your questions.
Reinout van Ierschot: Thanks Chris. We're now moving to Q&A and as usual, please limit your questions to two each. Operator, please.
Operator: Thank you. Ladies and gentlemen, we'll now start the question-and-answer session. [Operator Instructions] We will now take the first question from Keval Khiroya from Deutsche Bank. Please go ahead.
Keval Khiroya: Thank you for taking the questions and I've got two please. So firstly Chris, you mentioned that you don't expect 2023 EBITDA to dip below 2022. Is it possible for you to say anything more about free cash flow and whether we still expect the 2023 free cash flow to be above 2022? And secondly, you've previously described buybacks as being part of the structural additional return of capital. Should we expect you to carry out some buyback in 2023? Bear in mind the current backdrop and if so, should it still mean you're distributing roughly 100% of free cash flow through dividends and buybacks? Thank you.
Chris Figee: Yes, Keval. And on EBITDA I said we given some indication, obviously we'll give you a more detailed number if you wish, around our Q4 results. What we always do and EBITDA shows slight growth but not initially aimed for April level. On free cash flow, we're looking at a similar story, in free cash flow, there are multiple moving parts. If you peel down, you peel the onion, EBITDA will be up slightly. CapEx will be stable around 1.2. We'll obviously pay more taxes next year. We flag that before the way the government enables to treat our net operating loss, our taxes will go up significantly. You'll save something on interest costs. We see opportunities are working capital, I think on what's the line item, Delta provisions will improve. So I think the cash element of our earnings will go up. Restructurings are stable and pensions, I think there's a small opportunity. So if you take all those moving parts with, slight growth in EBITDA, but increase in taxes. I think our free cash flow will show a similar pattern, similar growth profile as our EBITDA. So flat to slightly up, certainly not below this year, we see opportunities for slight growth in free cash flow. But again, we'll give you the formal guidance by Q4 and your later point on capital return. Look, our balance sheet is healthy. We're still running at 2.3x net EBITDA that will probably drop to around 2.2x per year end as in the last quarter, we generate cash but have limited cash outflows means we've got significant headroom. And for all intents and purposes, I still work on the assumption that we return our free cash flow to our shareholders in a mix of dividend and buyback. So at this point, I see no reason to change that.
Keval Khiroya: That's very clear. Thank you.
Operator: The next question comes from Georgios Ierodiaconou from Citi. Please go ahead.
Georgios Ierodiaconou: Good afternoon. Two questions from my side as well. The first one is just a bit more clarity around energy cost. I believe Chris in the previous conference call you mentioned around 1.5% impact. Now it looks like it could be roughly €20 million more than the second quarter. Do you mind just giving us indications as to how you arrive at this outlook for next year? Are you being a bit more conservative because of how the prices turned at during September or is it purely spot that you’re using right now? And my second question is around the fiber deployment and I appreciate you just mentioned the €1.2 billion for next year as far as CapEx is concerned. I was wondering, you mentioned also the bottom next year are facing now in terms of the rollout and the fact that you’re prioritizing connections. Should we assume perhaps a slightly slower rollout than previously guided given some of the inflationary pressures in terms of labor costs? Or do you still stand by the previous rollout targets? Thank you.
Chris Figee: Okay. Georgios, on energy, I think we saw sad state that we’re all becoming energy specialists these days. So we’re going to give you a comprehensive answer to how we look at energy, right? First, on total energy consumption, we’re reducing our consumption. Think about 2020. We had a total 460 gigawatt hour energy consumption. We’ll move it down to 435 next year and possibly down below 420, 425 next year. So step one is to reduce the energy consumption. For 2023, we’re now 77% hedged, so 77% of our energy consumption has been bought. Fourth, the remainder will buy on the spot market. So details the average price is about €145,000 per gigawatt hour, which is a mix of different purchasing moments, right? The remainder will be bought on the spot market and the spot market is trading around depending whether you peak load or base load around [indiscernible] per gigawatt hour, that will buy the remaining 23%. With that, you get to about €50 million to €60 million more on the commodity for next year. And that’s an mostly a function on the hedges that we took the investment or the energy we purchased during the summer. Now, it has come up a bit. Let’s see where it is, we feel comfortable that we are moving towards spot purchases from here on. But the function is on average so far, 145,000, the remainder will be probably north of 300, at least if you look where current trading is and that will give you a €50 million to €60 million energy price increase. The volatility around it is relatively limited in a sense that if you look at our aim to reduce the energy spend, the remaining 23% and reasonable volatility in industry prices, I think the range around is probably plus or minus is €8 million to €10 million, right? It could be €8 million better, could be €8 million worse. So to some extent, we’ve got a reasonable visibility on the energy spent as we bought 77%. And I said €8 million plus or minus is the range that we can see around it for the next year. So some extent it has been locked in. And then the biggest question is where the spot market will come. Interestingly, if you look at spot energy for the spot market today is still a lot below the forward market. So the way the spot and forward energy price will converge will drive where you end up in an €8 million bandwidth. Hope it gives you a bit of comfort on control details on our energy spend. When it comes to fiber as of indeed our CapEx will be €1.2 billion next year. When it comes to our rollout strategy, the two things at play, one is KPN rolled out 76,000, but more so the entire KPN ecosystem, KPN and Glaspoort together did 120,000 to fiber rollout. So that’s actually still on track. KPN and Glaspoort together will have a record year in terms of how much fiber we rule out. So we don’t intend to slowdown the pace. I think we’re trying to see if we can actually increase the pace a bit. How will it fit into the CapEx envelope optimizing the rollout strategy, but optimizing our homes connects percentage, as Joost said by looking at how we mix and manage the homes connect strategy and how way you balance going to the Street and connecting homes. So I don’t see it slowing down on fibers that will be strategically unattractive. It will be kind of keeping up the pace. Probably do a bit more on the KPN side, but optimizing the way we will add.
Georgios Ierodiaconou: Very clear. Thank you.
Operator: The next question comes from Luigi Minerva from HSBC.
Luigi Minerva: Yes. Good afternoon. Thanks for taking my questions. The first one is on the broadband promotions that we saw in September. So I mean generally it’s a question about the competitive environment going forward. I’m wondering now what is your view in terms of what kind of prompted your competitor to launch those promotions? That’s obviously you followed. So what was the trigger there? And most importantly, how to avoid that this becomes a sort of a recurring pattern in the market because I mean, the market structure is actually a very, very constructive one I find. And so it should be possible to avoid this recurring promotions. The second question is about the cost of debt. Now, it is going up because 36% of your debt is on variable rates. And I’m wondering Chris, how do you feel about this and how to reduce the rates risk going forward? Thank you.
Joost Farwerck: Yes. On the broadband promotions, in the third quarter, we saw a pretty aggressive discount on the prices on the competitor side. I think it was for almost two months in the market. So that’s a bit of a traditional approach to be honest, I think and also something we really should try to avoid. In total, I see the market – value of the total market growing, ARPU is go up in general in the Netherlands, mobiles growing on all service provider sites. So on broadband, I think there’s a lot of failure for all to protect. But every now and then people, I don’t know, get nervous. And sometimes there’s a lot of pressure. I mean, we did grow last quarter of 4,000 other players on our network grow faster. So there’s a bit of pressure then on the other side. For us, it’s very important to stay away from that and to differentiate ourselves in a different way. Not on pricing, but on the services we deliver, on the quality we deliver. There are things one can do with fiber you cannot copy with [indiscernible] I mean we can go to every household with 10 gig. We can go to every room with 10 gig. We can offer three or four connections to a household to fire fund – one fiber connection. So in the future we will for sure that is one of our strategic objectives, make sure that we differentiate on the services and not only on the tariffs. For now, we are – we did pretty okay. We did grow 4,000, although that campaign was out. So I think all in all super important that we do not follow all kind of pricing things out there in the market. We should play the game of being market leader on quality and people pay for that. And Chris?
Chris Figee: On cost of debt. Is it right? So our book is now 36% floating. This year, our interest expense will be roughly flat. We’re just ahead of last year in saving, but there will be some coupon payments at the remainder of the year. So this year, interest payments will be flat. I think next year, a few things are at play. Of course, we’ve got some senior bond redemption this year that we issued. We did a tender on the U.S. dollar hybrid. So I think net debt to – I think reported interest in our free cash will be down about 10 million next year. That’s under the assumption, like on the scenario that short-term rates six months Euribor gradually moves toward 3%, which I think also what is the consent, where the ECB and that if it’s rate hacking process. So under the assumption, short term rates move to about 3%. Our reported interest will be going down by €10 million next year. Now, that’s a bit not completely fair comparison because a new hybrid will be no longer in our free cash flow. It’s a equity credited instrument. If you’re correct with that, the underlying cash out from rate will be up to about €10 million next year. So I think it’s a manageable amount. Of course, if we do refinancing earlier or change our refinancing of the 2024 bond that changes. But underlying – assuming on the scenario, short-term rates move to 3% will be paying €10 million more, but are reporting €10 million less simply because the reclassification of the hybrid. I think that’s all a very manageable amount. Can we do something about it, where we could restrike some of our floating rates to fixed? We’re always looking at opportunities. It depends a bit on – frankly on the steepness of the curve, how the yield curve looks. We look at some ethics free striking. But overall I think the floating rate exposure is manageable given that the – it’s a €10 million swing in the year, that should be manageable in light of our total free cash flow.
Luigi Minerva: Great. Thank you very much.
Operator: The next question comes from Andrew Lee from Goldman Sachs. Please go ahead.
Andrew Lee: Yes. Good afternoon everyone. I just had one question on your 2023 guidance just to come back to that. And the lowered EBITDA guidance you gave today. Could you clarify if that’s simply a timing issue of a lagged impact from your price rises in 2023 that won’t fully offset cost inflation until the back end of 2023. And therefore there should be no change to 2024 expectations? Or have you changed your structural view on your ability to offset cost inflation with price rises? So is it either a timing issue or a structural change in your – view on your ability to mitigate cost inflation? Thank you.
Joost Farwerck: Good question. It’s kind too early to say what’s going to happen in 2024, because what energy price will be in 2024. I think we have been able so far to reflect all the price increases, a cost increase, the price increases, right, and still been reasonably moderate. But our estimate is that – our price increase will give us €100 million plus into revenues next year. If you just simply multiply delta price by base. I think that will then be absorbed by energy process, labor cost and lease cost. I think, if I’m completely fair, the total now of price increase given the energy piece is slightly above what we can price to customers. And the difference is that compared to last year, price increases cannot at this point be used to expand your margins, right? You use your price increase to compensate for costs, not to boost your margins. So margin growth will have to come from volume increase in sales or lower unit costs. Is it a time increase? Look, if energy price is correct later on and energy spent in 2024 become less the whole thing looks pretty rosy because then you’ll see a significant price increase – EBITDA increase. I mean, look, if you look at EBITDA next year on like EBITDA x energy even if there would be a significant increase. So I think my answer is this one is price increases at this point act very close to compensating for cost increases but cannot expand margins. For 2024 it depends on how energy evolves. If energy price is correct and normalize, then we can discuss what normal is. But lease drop then see a lot more tailwind for 2024. But it’s unfortunately I can’t promise that.
Andrew Lee: Thank you. Very helpful.
Operator: The next question comes from Joshua Mills from BNP Paribas Exane.
Joshua Mills: Hi there. Thank you for the two questions. The first one, which is related to cost savings I think you said in the past that what’s your overall ambition to deliver the $250 million of cost savings remains. It might take longer to deliver and modeling through the headwinds you talked about so far during the call. It looks like your delivery on cost next year will be one of the key drivers for getting that EBITDA positive again. So my question on cost is based on the run rate you see today, what kind of magnitude do you expect to save next year and will it be higher than in 2022? So that was the first question. And then the second question with Chris just coming back to your comments on free cash flow being possible to grow in line with EBITDA next year. Are you referring there to the KPN to buying free cash flow or the real free cash flow post the hybrid coupon interest, which as you say is going to be higher? Thanks very much.
Joost Farwerck: Yes. So on the cost savings of course, we built the track records on saving costs in the past two years ago we moved to – the wish to accelerate the growth of our top line and for the fifth quarter in a row, I’m satisfied with the growth we are developing. So it’s important for a company like KPN to shift from only cost cutting to grow. Having said that and looking at inflation effects on costs, we are installing an additional cost saving program to make sure that we will gain additional cost savings. Last quarter was better than the previous quarters on OpEx. And we think it’s super important to make sure that wherever we can, we drive the company to more efficiency than before. Having said that, it’s also important that we cut in the right cost indirect OpEx, and that we are sure that we do not make the mistakes that KPN has made in the past that we go so far on cost cutting and we also cut in the direct OpEx, the good costs that is supporting the revenue growth. So that is very, very important. But having said that, indeed we will focus very tight on cost savings for the quarters to come.
Chris Figee: Yeah, just on our free cash flow, I refer to the KPN free cash flow, which is a report free cash flow that will deliver similar performances as EBITDA. Of course, if you adjust for the reclass of the hybrid interest expense there is more work to do. It’s our aim to have it grow as well. We definitely we’re working on that, but would like to give up commitment on the KPI free cash flow.
Joshua Mills: Understood. Thank you.
Operator: The next question comes from Usman Ghazi from Berenberg. Please go ahead.
Usman Ghazi: Hello. Thanks for taking the question. I’ve got two please. The first question, Chris, was this one again on the free cast bridge that you built out for 2023. I mean, it’s interesting that you said that for pensions it could be a small opportunity given obviously the decline in asset values and KPN does have a defined benefit scheme. So could you talk us through how you see this as a potential tailwind rather than a headwind? And then on working capital as well given the comments from peers that they might have to support SMEs and things, so this is just – I mean, if you could give us some comfort that those two areas could be tailwinds for 2023 that would be helpful. And then just my second question was on the copper shutdown that will start in Q1 2023, I mean 2.3 million premises. Is that on plan, is there – because I know that the wholesalers are pushing back against this. But is there any risk for that gets delayed? And if – assuming it does go through – just from the outside, it would seem that that could have quite a transformative effect on your cost base, given it’s a big portion of the homes pass or the homes that could be you shut down. So how are you thinking about that? Thank you.
Chris Figee: Yes, Usman on free cash flow, on pensions, indeed, we by and large, we pay a DC free cash flow or DC pension arrangement. That doesn’t really affect us if we’re paying a fixed step of premiums. However, we still have some old pension funds in the UK and the U.S. that are defined benefit. So there’s about a $70 million DBO on our balance sheets. And interestingly, it's actuarial magic, but because interest rates increase and the rate curve has changed, that DBO is declining, so there might be opportunities to close those pensions funds, do lift outs, buyouts, et cetera, and reduce on pension payments there. So it's a matter of trying to use the opportunities that the U.S. rate – U.S. and UK rate environment provides to the actuarial provisioning for pension funds. So that's actually a small opportunity to optimize cash flow this year and next year. And our working capital, we still see opportunities, we have, we not used any handset financing, with some vendor financing, but not a lot in place. And don't means I really want to massively go out of passive handset financing because we have to look at rates of that. But definitely opportunities there. The fact is that, for example, we see some opportunities to bill earlier to optimize the setting of invoices earlier to manage our inventory levels a bit smarter. And also to point out that legally there will be a requirement in the country to pay our SME clients within 30 days. We – that's what it take will happen next year. We've already implemented that this year. So, we're trying to reduce risks in cash for next year as much as possible and bring forward as much as possible around payment terms, around invoicing times, and then see if we can optimize some of our handset and vendor financing without going overboard on financial engineering or paying too much interest rates.
Joost Farwerck: Yes, on the copper shutdown. You could say we are on track, although perhaps we, you could also say we should have started a couple of years ago on shutting down some of the areas. We had long discussions with our regulator on how to communicate the shutdown per area and that rule we now followed. So that's why we announced lots of areas to start with in 2023, where in full preparation for that, of course, some of the players on our network complaint about that. Also recently some complaints have been received and also T-Mobile started a lawsuit against KPN on us shutting down copper areas where they're still active on the passive layer, but they lost it. Or in my words, we did win that, that's all, because we just followed what we agreed on with our regulator years ago. So, we're migrating actively customers in all copper areas to fiber in a copy cat kind of portfolio. And after that we're good positioned to sell up to this customers. So, I expect us to start early in 2023 with the shutdown of the first copper areas. Of course, at beginning on cost saving side that will not be that significantly noticeable. But moving on in time, it will be significant, because it all was related to the usage of energy the maintenance on the network, maintenance on real estate, and especially on service tickets on the copper network. So all-in-all the fiber network is far more efficient than a copper network. So that will kick in. And at the end, the whole idea is that we're building a fiber co, longer, further up on the road, KPN, yes, will be complete a 100% fiber co with all our customers on fiber, and that is then an end-to-end far more efficient company to run than where we are today. So, I consider that copper migration from copper to fiber as very important than a strategic milestone for us to start with.
Usman Ghazi: Just to follow up on your last point, I mean, are the bulk could these savings going to come when every last copper home has been shutdown or can they start to come in already?
Joost Farwerck: No, no. The most important part is really the maintenance and service costs on a copper network in general. So more, the more customers we have on a fiber network in an area, the more efficient we are then with service tickets, I mean, customers calling our company with a problem, field engineer goes out to fix it. And then on a copper network, we have far more to fix than on the fiber network. Fiber, you can really run from a distance in copper. We have to do all kind of things in street cabinets, number exchanges, and at the customer's premises. So, I think it's really on the costs, how to run that network.
Usman Ghazi: Okay, thank you.
Operator: The next question comes from Jakob Bluestone from Credit Suisse.
Jakob Bluestone: Hi, thanks for taking the questions. We've got two fairly short questions. One, getting back to the issue of cost inflation. Can you just update us on when do you have your next round of negotiations on wages? I'm not sure if you'll be able to sort of comment on, the sort of parameters of those discussions, but I think the Dutch minimum wage went up by 10%. And then secondly can you maybe just comment on how your latest price hikes and mobile landed? I think you put through 6% price hike in October. Just sort of curious if, we're seeing any higher churn on the back of, I guess, what are a bigger increases than previous years? Thanks,
Joost Farwerck: Yes. On wages we expect our formal meetings with unions to start beginning of November. So and, of course, we're preparing for that also together with unions. So, we are not communicating on that topic. We first want to sit together and see where we can find a reasonable outcome. And so yeah, hopefully later in the year we can communicate on that. The mobile price increases, I think they landed quite well. We did a steeper increase of prices than previous years, almost 6%. We also communicated that we kept it at two euros, so no increases above two euro per month. So and that landed that quite well in the market. So I would say all in all, our pricing increase on the mobile side landed very smoothly in the Dutch market.
Jakob Bluestone: Okay, thanks.
Operator: The next question comes from Steve Malcolm from Redburn.
Steve Malcolm: Yes, hi there. It's Steve Malcolm. I'm sure you probably realized that. Yes. Afternoon guys. And a couple of quick questions, if that's okay. First of all, just on the wholesale business, can you maybe, I mean, I know underlying growth is around 4% this quarter. You've got to sort of make a few tweaks to get there. But in light of the recently sort of slightly tweaked wholesale agreement you have with the Dutch regulator, can you just sort of give us a sense of whether you think you can maintain sort of low, mid single digit growth going at fourth quarter and going into 2023 as we look at the different mix of WBA with ODF. I guess upselling to fiber and all those different moving parts. That would be super helpful. And then just on cost saving, as you mentioned, I guess in the past, KPN has been a little guilty of cutting into muscle, instead of fat. And as a company, I think we all recognize, you're very efficient, you're very lean. So maybe you can give us a bit of help as to where these incremental cost saving opportunities are, as you try and offset the obvious threat of inflation thing 2023? Thanks a lot.
Joost Farwerck: Yes. On the wholesale growth in service revenues in Q3 was low, but that was really new to comparable the last year. If you look at the numbers, you see broadband growth, actually nice. Mobile growth are nice, but the category other was less which has to do with the one-off benefits last year in the category other. If I look at the underlying drivers, we saw in the summer, reasonably small broadband optics, but in September, really good number that's here it goes, but somehow my intuition tells me that broadband growth and we see solid growth in postpaid. So I don't think wholesale growth 7% to 8% like we did last year. But we could do up to mid single digit service revenue growth is definitely feasible into next year also. And then maybe even especially on the backup on new wholesale ATM arrangement where it is, I would say not unattractive for a third parties to sell KPN line. So the trend of broadband, I guess will be fairly okay. ODF, possibly some VULA. The VULA will be ARPU enhancing for the wholesale business. And postpaid continues to be strong. So I would say low to mid single digit growth and wholesale revenues is really not a strange idea.
Chris Figee: Yes. Steve, on the cost reduction side, one of the pillars of our accelerated growth strategy, simplification and digitalization of everything we do. And we have a lot to do there. So we're super convinced that we can do with far better than we do today. KPN we have more or less 10,000 people working for KPN, and we probably hire around 2,000, so that's 12,000 people working on a daily basis for the company. And I expect that in the future to be much less. So, it's about end-to-end steering and simplifying customer processes where we can benefit from. But we also added programs like looking at overhead. So in, yes, there's a difference between people working on a daily basis on the customer interface that we simplify and then we can reduce on FTE, but we're also looking at FTE reduction on the overhead site. How can we simplify the way we work in offices and that we will do next year as well. So although I know that we should not focus on direct costs that is supporting revenue growth. I'm convinced that we can do a lot there. And we started to also close down offices. So our former head office in the eighth. We will close at the first of January to reduce on cost, and there are more buildings we will close off also since people work in a different way today, the way we work is different than post COVID or before COVID started. So there's a lot of opportunities we identified to do on top of the simplification and digitalization to make sure that we can boost the OpEx reduction a bit for coming quarters.
Steve Malcolm: Okay. Can I ask one quick follow just on your fiber build? I mean, you mentioned the sort of restriction of resources. I mean, are you seeing your competitors having to reign in their ambitions? It sounds like you're still talking a bit more. Are you seeing a slow down for like the KKR or is that so not something you've noticed so far?
Joost Farwerck: No, I think others are struggling there even more than we are. We locked in a lot of capacity, but it's fair to say that the field mechanics are different to find these days because there's a lot to do in construction anyway. So we're working a lot with foreign teams to roll out in the streets. We're working more with Dutch teams to connect in households and the blend of that different than it used to be. So staffing is really on the top of our list and we have deep discussions with contractors how to on the longer term, reinvent ourselves. So the way we connect households is completely different three years ago. I mean, we always moved into a house to reconnect, we now do that from the outside which is an innovation we did together with contractors. So it is with the labor capacity available, we try to be more efficient than in the past. And I think in the blend and compared to the others we have far out most capacity. But all in general labor capacity is scars and is a challenge for yes, for the whole industry.
Steve Malcolm: Okay. Thanks a lot.
Operator: The next question comes from Konrad Zomer from ABN AMRO, ODDO BHF. Please go ahead.
Konrad Zomer: Hi, good afternoon. I'd like to ask a couple of questions on CapEx. Year-to-date your fiber rollout has been slightly below expectations every quarter for reasons you just explained. And as a result your CapEx has also been on a run rate let's say below the €1.2 billion that you guide for, for the end of this year. Do you really think you're going to spend I think it's like €385 million in the final quarter of the year, given that labor scarcity in fiber will continue to be tough? And does that imply that you're going to spend it on other things than fiber? And as a follow-up on that let's say you end the year with CapEx below €1.2 billion, does that make it easier for you to look at your free cash flow and the fact that you've done a really good job there to maybe come up with a slightly bigger share buy back in February next year? Thank you.
Joost Farwerck: Well, before I hand over to Chris for a difficult part of this question I would say that I think Q4 on fiber rollout will be better than in Q3, but the way we organize our CapEx management is that there's no communication between the fiber CapEx buckets and other things we do where we invest in. So if we will perform below the plan on fiber that will be visible in our CapEx.
Chris Figee: Yes. It's pretty clear. Fiber CapEx and non-fiber CapEx are two different buckets, and there's no communication between the two. Actually, you look at our CapEx spend year-to-date, fiber is spending less but also non-fiber is spending a bit less than last year. I think we'll still get close to €1.2 billion given the right, we may end up a little bit below the €1.2 billion. Let's see what we end. This is still quarter to go. What does it do for a free cash flow? I think we're still sticking to our free cash flow guidance. I mean, this will give us ample of opportunity to also manage our working capital smoothly over the coming years. Do we then come up with a bigger share buyback that I'm not going to prelude to what we're going to announce in January? In January we'll announce our free cash flow and our IT final specific EBITDA guidance and the corresponding relation strategy where our principle is as we return our free cash flow to shareholders, and take a bit of a long-term view in there as well. But I think the most important thing to us as a management team is that there's no flow between fiber and non-fiber CapEx. So you're not going to spend more in one-bucket because you spend less than the other that's to me is a very important principle how we run this group.
Konrad Zomer: Okay. And then maybe just as a quick second question on your guidance, several investors that I spoke to today still refer to your old 2023 EBITDA guidance as a slight improvement versus 2022; i.e., the 2450 versus the 2400. That's like a 2% increase. You obviously do not consider a 2% increase to be slight. Is that the correct assessment?
Joost Farwerck: Well, look we're saying indeed the guidance or the ambition we gave at the Capital Markets Day back in 2020 when the world was rosy, the sky was blue. We said we aim for [indiscernible] 02% EBITDA growth for next year. And we set the updated guidance given all what's happening is above this year, so it's above zero, but less than 2. Well, and then I'd link to take it to your models to figure out what number to pull in, what's the number in between, but it's and it's slight is a bit less than 2, so I think our growth in EBITDA will be between zero and 2. I'll leave it to your imagination to see what number you can come up with.
Konrad Zomer: Okay. That's clear. Thank you very much.
Operator: Next question comes from Maurice Patrick from Barclays.
Maurice Patrick: Hi guys. Thanks taking the question. Two very quick ones on me. First one you talked about LCE reflecting next year being sort of [indiscernible] more down this year. Just curious as to why you're confidence will grow next year. I mean, it's going to be a difficult macro climate. What do you know that we don't in terms of the drivers of that? And the second one is, if I understood correctly, you talked about energy consumption being down 5% next year, so actually falling 5%. If you could articulate a bit about some, what will drive that decline, that'd be super helpful?
Joost Farwerck: Yes. Thanks. So on LCE, I mean it's a long roadmap we follow. So it's not that we hope for the best. By the way, we almost inflected this quarter, but that’s a bit too early to call victory because, there was a couple of million one of in it, but still I think organically the run rate is improving in a bit better than planned for. But what we do there that we migrate the whole customer base to a new platform like we did in SME, but then a different platform. And so it goes a bit slower. It’s more difficult to handle because these are larger customers and sometimes they don’t want to swap hardware on their site. But now we’re over 80%, 85% of the migrations and the last 5% you never do. So learning from what we did on SME and following the plan and the roadmaps, I think that mid next year we for sure will show inflection on that. And that is sometimes, it’s just following the run rate and keep on executing on the plan and then it will inflect and SME is a good proof point that it works that way. So that’s what we’re doing on LCE. Although it’s a difficult market, what we do is that we migrate these customers to the future. Its lower priced, it’s all IP it’s much better, simpler. So does at the end not that much of a reason to disconnect from KPN once you’re on the new platform. And that’s also why SME is growing as it is today. So I’m pretty confident that we’ll do that. And I’m, to be honest; I missed your second question?
Maurice Patrick: The second one was about the 5% energy reduction that you spoke about. 
Chris Figee: Yes, on the – drives of energy reduction, if you think very big numbers on our energy spend, it’s about 60% of our energy spend is in our network, which is basically all the central locations, the fiber and the copper network 25 to 30 is in the mobile network. So the network of towers and rooftops that we have, another 10% is the rest, which is offices, buildings, cars, et cetera. So it will be savings and of course we shifting from copper to fiber. So shutting down part of the copper network will move us to a much more energy efficient fiber network. We’re trying to optimize heating and cooling, especially in our larger locations. So experimenting with fair – degrees of temperatures and optimize our cooling there. Then when you look at the mobile network, there is now increasingly services software available that optimize energy spent and the application of certain spectra on different mobile sites. So you look at your individual sites, you look at traffic, you try to forecast traffic and you might shut down individual sites or take out local spectra on local sites that will take out energy and as Joost said, we are really thinking our office footprint to see if we can shut down our offices. That is a potential saving. And then finally, I think it’s mundane shops where we say, let’s close the door more often to use less neon advertising in shops, all the small things together. So it’s a big chunk on our core network and fiber network to chunk on optimizing energy and congestion or energy and traffic on your mobile sites. And then there’s offices and shops in which you can also do things.
Maurice Patrick: Thank you.
Operator: The last question comes from Polo Tang from UBS. Please go ahead.
Polo Tang: Yes. Hi, thanks for taking the questions. I have two, the first one’s really just on mobile pricing. You mentioned that your recent mobile price increases landed well, but given that CPI is now double digits, do you think Dutch consumers can absorb double-digit price rises in mobile going forward? And my second question is really just to come back to fiber CapEx because if you look at Delta fiber, they appear to be building faster than KPN and spending more than KPN in terms of their fiber rollout. So as a result, does it actually make sense for KPN to accelerate the fiber rollout in order to reduce the risk over build from competitors. Thanks.
Joost Farwerck: Yes. Polo on, first on mobile pricing for as mobile customer, the life cycles mobile customers roughly two and a half years, the life cycles of broadband customers over 10 years. So it’s super important that we have the price increase in the contracts on the mobile side, which we have. So in our system is that we can do more or less the full CPI correction in mobile yearly, of course, if yes, for next year we see what we have to do. But it’s also about communication. And that’s why I said that we did a pretty – from our perspective, pretty heavy price increase around 6%, so the 1st of October. But it has been communicated in such a way that people accepted this positively. And that’s because we installed the price gap on €2, all in all and result net promoter score improved three points. So that can go hand-in-hand if managed well, I would say. And on fiber CapEx, I mean, you’re right deltas building you’re not right if you say that they go faster than KPN, but they pick areas when we show up they withdraw. ODF is that KPI is also rolling out fiber in the Netherland, so it’s a bit crowded to our opinion. So that’s why I also said that we change the rollout strategy a bit. We go faster in streets, we claim areas and we take more time to connect household. So that’s a temporary difference in rollout facing. But all in all, I think that we have a plan in place that makes us go fast. And of course whenever we can accelerate, we will.
Polo Tang: Thank you.
Reinout van Ierschot: Great. Thank you very much for attending this call. If there’s any further questions please contact the KPN investor relations team. Thank you very much.
Operator: Thank you. Ladies and gentlemen, this concludes today’s presentation. Thank you for your participation. You may now disconnect. Have a nice day.